Operator: Good day and welcome to the Ultralife Corporation Third Quarter 2020 Earnings Release Conference Call. Today’s conference is being recorded. At this time, for opening remarks and introductions, I'd like to turn the call over to Miss. Jody Burfening. Please go ahead.
Jody Burfening: Thank you, John and good morning everyone. And thank you for joining us this morning for Ultralife Corporation's Conference Call for the third quarter of fiscal 2020. With us on today's call are Mike Popielec, Ultralife's President and CEO, and Phil Fain, Ultralife's Chief Financial Officer. The earnings press release issued earlier this morning. And if anyone has not yet received a copy, I invite you to visit the company's website www.ultralifecorp.com, where you'll find the release under “Investor News” in the Investor Relations section. Before turning the call over to management, I would like to remind everyone that some statements made during this conference call will contain forward-looking statements based on current expectations. Actual results could differ materially from those projected as a result of various risks and uncertainties. These include potential reductions in revenues from key customers, uncertain global economic conditions, and acceptance of new products on a global basis. The company cautions investors not to place undue reliance on forward-looking statements, which reflect the company's analysis only as of today's date. The company undertakes no obligation to publicly update forward-looking statements to reflect subsequent events or circumstances. Further information on these and other factors that could affect Ultralife's financial results is included in Ultralife's filings with the Securities and Exchange Commission, including the latest annual report on Form 10-K and latest quarterly report on Form 10-Q. In addition, on today's call, management will refer to certain non-GAAP financial measures that management considers to be useful metrics and differ from GAAP. These non-GAAP measures should be considered as supplemental to corresponding GAAP figures. With that, I would now like to turn the call over to Mike. Good morning, Mike.
Michael Popielec: Good morning, Jody and thank you everyone for joining the call. Today, I’ll start by making some brief overall comments about our Q3, 2020 operating performance after which I’ll turn the call to Phil, who would take you through the detailed financial results. When Phil has finished, I’ll provide an update on the progress against our 2020 revenue initiatives, then open it up for questions. For Q3 of 2020, our Battery & Energy Products core business once again delivered strong double-digit organic growth with revenues up 22% year-over-year, driven by medical and government defense sales and despite on-going supply chain, logistics and operational challenges due to the pandemic. Oil and gas market demand remained weak, impacting SWE revenues and our communication system revenues were also lower, primarily due to [Indiscernible] non-recurring prior year vehicle adapter and mono tower amplifier sales under the U.S. Army’s network monetization initiatives. As a result, total company revenue was up prior year by 11%. Disciplined cost control drove operating expenses also down 11%, preserving a quarterly EPS profitability of $0.03 and with focus working capital management we further strengthened our balance sheet with a $7 million reduction in debt. In a few minutes, I’ll give you further update on our revenue initiatives, but first I’d like to ask Ultralife’s CFO Philip Fain to take you through additional details of the Q3 2020 financial performance. Phil?
Philip Fain: Thank you, Mike. And good morning everyone. Earlier this morning, we released our third quarter results for the quarter ended September 30, 2020. We also filed our Form 10-Q and Form 8-K with the SEC this morning and have updated our investor presentation, which you can find in the investor relations section of our website. I would like to thank all those that helped make this happen For the third quarter, consolidated revenues of $24.4 million, decreased $3.1 million or 11.4% from the $27.5 million reported through the third quarter of 2019. The year-over-year variance reflect a significant increase in battery sales for our medical and government defense customers, which was offset by lower oil and gas market and communication systems sales. We estimate that approximately $2 million of the year-over-year variance is due to demand impacts associated with COVID-19. With a substantial increase in sales of medical batteries, especially those used in ventilators, respirators and infusion pumps, more than offset by weakness in the oil and gas and international industrial markets. In addition, third party logistics disruptions arising from the pandemic resulted in shipment delays that pushed approximately $1 million in revenue into the fourth quarter. Revenues from a battery and energy product segment or 21.8 million, a decrease of 3.4% from last year attributable to a 102.1% increase in medical battery sales, and a 23.4% increase in government defense sales, offset by a 68.7% decline in oil and gas market sales. Medical sales for the third quarter, were at the highest quarterly level in our history and comprised 47.7% of total sales for this segment. The sales split between commercial and government defense was 72/28 compared to 71/29 for the 2019 third quarter, and the domestic to international split was 50/50 compared to 51/49 last year, revenues from our communication system segment were 2.5 million, a decrease of 48.3% from last year. The decrease reflects 2019 shipments of vehicle amplifier adapter systems to support the U.S. Army's network modernization initiatives under delivery orders announced in October 2018. These orders were completed in the second quarter of 2020. On a consolidated basis, commercial sales and government defense sales decreased 10.8% and 12.5% respectively from the 2019 period. The commercial to government defense sales split with 65/35 versus 64/36 for the year earlier period. Our consolidated gross profit was 6.5 million, compared to 7.9 million for the 2019 period. As a percentage of total revenues. consolidated gross margin was 26.7% versus 28.6% for last year's third quarter. Gross profit for a battery and energy products business decreased to $5.7 million from $6.1 million. Gross margin was 26.0% a decrease of 110 basis points from 27.1% reported last year, reflecting product mix of lower oil and gas market sales and incremental costs in 2020 associated with the transition of a multitude of new products to higher volume production. For our communication system segment, gross profit was 0.8 million compared to 1.7 million for the year earlier period. Gross Margin of 32.8% decreased 270 basis points from 35.5% last year, primarily due to sales mix, and lower factory throughput in the 2020 period. Operating Expenses decreased $0.8 million from $6.6 million last year to $5.8 million. The decrease was consistent with the overall percentage reduction in revenues and attributable to certain headcount reductions, minimal travel and strict control over all discretionary spending. As a percentage of revenues, operating expenses were 23.8% for both the 2020 and 2019 periods. Operating income for the third quarter of 2020 was $0.7 million, compared to $1.3 million for the 2019 period, reflecting the net financial impact of COVID-19 and lower year-over-year sales for communication systems. And operating margin was 2.9% for the 2020 period versus 4.8% last year, driven by the lower gross margins. Our tax provision for the third quarter was $192,000 compared to $225,000 for the 2019 period, computed at statutory rates, while excluding the benefits of our net operating losses, and tax credit carry forwards for GAAP reporting purposes. Accordingly, our reported tax provision for the third quarter is based on an effective rate of 29.4% while utilization of our deferred tax assets will drive the tax provision down to only $4,000 or 0.6% when we actually pay our taxes. We expect that the net operating losses and tax credits included in our deferred taxes will offset all U.S. taxes for the foreseeable future. Using the 29.4% statutory tax rate, net income was $0.4 million or $0.03 per share on a diluted basis for the 2020 third quarter. This compares to net income of $0.9 million or $0.06 per share on a diluted basis for 2019. We utilize adjusted EPS to reflect actual cash taxes paid or to be paid and define the adjusted EPS as EPS excluding the provision for non-cash U.S. taxes expected to be fully offset by our net operating loss carry forwards and other tax credits. As noted in the supplementary table in our earnings release, adjusted EPS on a diluted basis was $0.04 per share for the 2020 third quarter, compared to $0.07 for the 2019 third quarter. We estimate that the adverse impact of COVID-19 to our adjusted EPS was $0.06 per share. Also at the end of the quarter with a strength and balance sheet and enhanced liquidity, with cash on hand of $13.8 million, working capital of $45 million and a current ratio of 3.6. During the quarter, we utilized cash generated from operations and accounts receivable collections to further reduce our debt by $7.1 million, while increasing our cash on hand by $5.4 million since the end of the second quarter. Since the beginning of the year, we have reduced the debt related to our acquisition of SWE by 78% from $17.3 million to $3.9 million, while increasing our cash on hand by 86% from $7.4 million to $13.8 million. Through continued careful management of our liquidity, we are able to fund organic new product development, strategic capital expenditures and M&A while eliminating our debt. As a result, we remain well positioned to invest in growth initiatives and staying focused on releasing the full average potential of our business model during these challenging times. I will now turn it back to Mike.
Michael Popielec: Thank you, Phil. For 2020, we continue to focus on driving revenue growth by marketing sales reach expansion, primarily through diversification, new product development and strategic CapEx for competitive advantage and accretive acquisitions. For the battery energy products business, the strategy for market and sales reach expansion is about diversifying more into the global commercial markets and international government defense markets to lessen our historical concentration in the U.S. government defense market. One of our most successful commercial diversification focus areas has been in medical. And in Q3 2020, Medical revenue was up 102% year-over-year, accelerated by the current pandemic and represent approximately 48% of our total battery and enterprise energy product sales. We saw strong demand from existing customers with applications for ventilators, respirators, infusion pumps, digital X-ray, and surgical robots. We also received delivery orders for existing customer blanket and/or multi-year agreements, which totaled $2.75 million. At Southwest Electronic Energy Corporation or SWE, which we acquired in May of 2019. In addition to shipping its core, oil and gas and subsea electrification products, during Q3, the SWE team successfully completed a short cycle turnaround contract in medical battery packs for a respirator application serving the COVID-19 response. In Q3, SWE provided 14% of total B&E product sales. For B&E’s Q3 2020 U.S. government defense customers, revenue was up 36% year-over-year, and represent approximately 25% of total B&E product sales. This includes radio battery shipments to OEM primes, as well as continued shipments on the recent $4.8 million 5390 DLA spot by award with a balanced expected to ship throughout Q4. Regarding battery energy products new products development in Q3 2020, 14% of revenues were from products introduced less than or equal to three years ago. During the third quarter of 2020, continued progresses was made on several projects, including but not limited to, OEM public safety radio batteries, and new digital X-ray battery, and next generation medical car battery, a next generation ruggedized modular large format energy storage battery, and a new military conformal battery. New product development and multi-generation of product planning not only keeps our products current with market needs, but also gives us the opportunity to collaborate, remain close with and provide value to our key customers. Regarding deploying strategic CapEx to bolster our competitive differentiation, our goal is to produce the highest value proposition, best quality and safest products in whichever one of our global locations that serves the supply chain of the particular end market, indoor OEM customer. In our Newark, New York USA facility we're currently undergoing a $4.3 million capital investment for automated manufacturing of a new premium three volt battery that will serve the rapidly growing IoT wireless devices market, as well as next generation three volt smoke alarms, asset tracking devices and metering. Initial customer orders are now beginning delivery. Our numerous other customers continue product evaluation testing in parallel to our ramp up production, where we are aggressively pursuing volume throughput and cost targets to meet the needs of several very interested customers. This new product produce provides customers with world class product performance, safety, and a competitive price value proposition as well as the supply chain proximity and quality of being made in USA. In China, we continue to make progress on our Thionyl Chloride ER Cell upgrade project involving extensive process improvements, which will help us expand our total available market with newly identified commercial and industrial applications. Samples of the newly formulated and designed ER high rate products continue to ship throughout Q3 with the ER low rate cell design completed and invalidation at the end of Q3. We're now expected to start sampling the low rate ER products in mid Q4. What's exciting about participating in the sampling phase, as that we receive great voice of the customer feedback, which helps us to continue to enhance our cell and battery pack products as well as new revenue prospects, and that SWE located in Houston, Texas area while Q3 was a struggle from an oil and gas market perspective, new product development continued. And SWE delivered new custom designs for our customers rotary steerable drilling innovations. SWE also provided its -- subsea battery products to support customers new efficient technology for subsea intervention and work over control systems and autonomous underwater vehicles for state of the art oceanography. At Communication Systems in Q3 2020, new product development revenue from products less than or equal to three years old, represent approximately 37% of communication systems revenues. Q3 was a challenging quarter, as our global military sales remain impacted by COVID-19, resulting in delays of both programs and smaller purchases. While some key product deliveries continued, due to previously awarded IDIQ contracts and their following delivery orders, it was well below expectations. In regards to the U.S. Army's Handheld Manpack malformed fit and Leader Radio programs follow on contract opportunities are anticipated later in 2020 and one to 2021. After operational tests and evaluations are conducted by the U.S. Army HMS Program Office. Overall, Communication System remains well positioned for future opportunities within the domestic military radio market, with proven products supporting both single and two channel and how the Manpack ancillaries and integrated state of the art solutions. With respect to system integration of cutting edge server technology, discussed during the last few earnings calls, Communication System has continued the development and fielding of three variants to support a broad range of operational requirements from small technical team support to full command center integration. New customer opportunities for further utilization of these products are undergoing customer evaluation, with overall demand is expected to increase in early 2021. Our progress on the dismount of configuration continues and is now in design activities, with early prototypes expected by the end of 2020. This Dismounted solution has also gained considerable traction with the stakeholders, and [Indiscernible] potential for a broader way of industrial and government applications. Regarding new initiatives and system integration, Communication System is in the early phase of development for another commercial application, which leverages our experience and past performance with G&D system integration into a new market with considerable opportunity for growth globally. We look forward to reporting progress in this key initiative as we go forward. Communication Systems remains optimistic in this emergent growth area, and further expansion of this key OEM relationship as expected demands materialized into 2021. In closing, for the third quarter 2020, we were highly appreciative of the efforts made by all of our team members. To maximize our response to our medical customers demand increases and achieve strong organic revenue growth were possible, particularly in their battery energy products core businesses. We were equally thankful of the efforts made by our teams to minimize the impact of negative market and tough year-over-year comparables exacerbated by COVID as noted in the SWE oil and gas, and communication systems businesses. Their focused and combined efforts help us sustain profitability, generate positive cash flow for the quarter, and strengthen our balance sheet. As we approach the end of 2020, and head into 2021 we will continue to optimize our financial performance through year end, striving for total year revenue growth and profitability. While we will continue to navigate the challenges of a pandemic, it is imperative that we stay keenly focused on completing our current multiyear transformational projects in order to unleash the new revenue streams, each will bring. At B&E these include but are not limited to the new three volt product line, the new ER product line, the smart UN battery product, the 5790 CFX blend primary battery, and several other new public safety Thin Cell, medical and subsea electrification application battery packs. Also, we have over $85 million in untapped DoD DLA IDIQ's, including the $21 million next-gen 5390 and the $49 million 5790 primary battery awards, both of which are now in final first article testing. We expect to be finished with development and testing in the Q4, Q1 timeframe. At Communication Systems, as we await possible follow on orders under the next phases of the U.S. Army's network modernization initiatives after the end user OT&Es. The Communication System team is focused on new active OEM Manpack radio projects, a number of smaller transactions including international, several integrated computing solution opportunities in commercial markets, as well as developing next generation amplifier prototypes. OEM engagement, that remains the highest priority for Communication Systems and continues to be strong and productive, providing ample new product development initiatives for integrated systems and amplifier platforms, product support for fielded products and new business development to meet emerging radio capabilities being fielded globally. The fundamental nature of the main industries we serve military defense, energy and medical provide us with a level of durability and resiliency to ride out the current economic headwinds. We will continue to focus and overweight our time and effort on completing our transformational projects as we believe these are the elements which are most under our control to improve our revenue growth rate, and revenue and EPS consistency. And we will continue to pursue acquisition where we can quickly gain scale and achieve further operating leverage. Our strong balance sheet, solid cash flow from operations, proven integration methodology and discipline inherent to our business model give us this flexibility. Operator, this concludes my prepared remarks and we'd be happy to open up the call for questions.
Operator: Thank you. [Operator Instructions] We'll move on to our first question from Gary Siperstein from Eliot Rose Wealth Management. Please go ahead, your line is open.
Gary Siperstein: Good morning, Mike and Philip.
Michael Popielec: Good morning, Gary
Gary Siperstein: So firstly want to congratulate you on maintain profitability. I think we all knew that with the contract, that large contract finished shipping in Q2, coupled with the obvious headwinds in oil and gas, that was going to be challenging. So I think you did an amazing job on that. And I was really impressed with what you've done since the beginning of the year in terms of debt paid out. As Phil pointed out, cash almost doubled from $6 million to $13 million, or $14 million, and debt went from $17 million down to like $3 million. So that's a $20 million swing in nine months. That's, that's just amazing, and cleaned up the balance sheet and, and they're locked and loaded for either buybacks or new M&A. So congratulations on that. Mike, I just want to drill down a little bit on the growth going forward, and you sort of called that out in your summary earlier. So first, for the CapEx growth that you've done in Newark, for the IoT effort, is the spend on that expected to be completed by year-end? And IoT exclusively threfold? And what would be an expectation going forward is that – year-end business you expect from IoT? Is it $3 million to $5 million, can you give us a little more color on that?
Michael Popielec: Sure, sure. We're definitely in the final throes of the investment. From the standpoint of execution, where we are, as you know, you can do and I've heard other people say on similar calls, in the battery business that, the easy part is making the product work in the laboratory, where the real challenge comes in, is putting into a highly automated high speed line, and getting the same performance and quality and durability, as you know is capable of that product. And so that's where we've been sort of struggling through that transition. We're at the point right now, where we're providing very high quality, high performing products. We want to make sure we get it right so that we run at the very highest speeds, the capability of machines are able to do that we hit that same level of performance, and quality. From an overall standpoint of what the opportunity represents. We've been saying for several quarters and probably longer, that there's a certain amount of market, we think we can carve out just from the overall growth rate. But then when I just look down into individual transactions, and we review this on a regular basis with our senior executives, when we consider the three roll products, the new ER product, and some of the smart new one, and medical cart, battery opportunities. We have literally 10s of millions of dollars in our opportunity funnel over the next couple of years. And we just can't get these products out there fast enough, because we're so excited about what the revenue could possibly come forward with them. But we're trying to make sure that we get it right, the body is there, the performance there, and that once we start we don't have a bunch of restarts. So we're very excited about the three volt product line, the ER product line. For IoT, it's for metering, it’s for smoke detectors, it’s for a lot of different products, the smart UN battery, it looks like it has a great alignment with some medical card opportunities. No, we're coming out with some of our own brand new medical car batteries as well. So I think the revenue prospects are extremely strong. We just got to get the project's done. And I think people understand that pretty well.
Gary Siperstein: Okay, that's great. That's sounds to me as a valid opportunity. I think they are spend there. So that's wonderful. Is anything new going on? You're mentioned meters are in smoke detectors. They got all out of China or is that part of domestic CapEx with the three volt domestically and would that be depending on the customer which manufacturing plant make it in or is that out of China?
Michael Popielec: And that's exactly right. I mean, we our naval is produced in China. But as we mentioned earlier, due to electronic, evolution and maturity of designs, part of the smoke detectors are moving to the three volt product. We have a three volt product that we produce in China. We have a three volt product that we'll be producing United States. And our goal is to be the best supply chain player with our key OEM customers. So there are smoke detectors, a lot of smoke detectors and other devices like that, that are made in China, which would make it difficult for us to ship a product from the United States into China, be assembled into a device and then shipped back to the global world and still be competitive. So we will ship the product from whichever one of the locations makes the most sense from a flat supply chain perspective and serving the particular OEMs need.
Gary Siperstein: Okay, that makes sense. You touched on the IDIQ is north of 85 million. On how many products does that represent? And are they or is it the two products pretty poor and are they all still like you mentioned some testing will be completed in Q4, Q1. Are they all in testing or they hypothetically the store products are to be completed and ready to ship depending on getting the POs or they are all endurance...
Michael Popielec: Two of the three are in final stages of first article testing. And those are the two that I referenced the $21 million, $149 million for those two specific products. There's another third product that's a little bit further behind a little smaller award, I think it was around $14 million or so. But collectively there's three different products, big two other ones that are nearing completion. We're getting our work done, it’s a inter process with our customer. We believe we're in the final throes of testing and tweaking and designing things. And we expect it to be done from our perspective between Q4 and Q1. And we're just going to be encouraging and optimistic that our customer can work quickly to get those things finalized as well, because we're anxious to get the revenue potential associated with each of those IDIQs.
Gary Siperstein: And I think if I recall, there were five year IDIQs. So the 35 million, I know it’s at the discretion of the government. But even if they run out over 10 years, and did about $8 million in a year relatively, albeit regards the nice incremental business, is there any color at all on the cadence of the potential revenue?
Michael Popielec: Not really, I mean, in the one case, the 53/90, we've been continuing to provide a legacy product. And that rate has been several million dollars a year, I think because referenced our most recent award was at the end of the prior year and that we executed on all in 2020. And that was worth around $4.8 million. We've had other years where it's been less than that as well. So it can go from zero to $4 million or $5 million a year, it seems depending on consumption and shelf life and other factors. But we really don't have a clear view of what the potential rate gets done in at this point. We're just trying to control things we can and get it done, so that we’re positioned for whatever volume is potentially needed.
Gary Siperstein: Okay. And then moving on to the next generation radio, whether its Leader or Manpack. I know it's a multi-billion dollar award to three prime contractors. The last I saw was one point contractor, since they did a 90 million 95 million on it. So it seems like it's getting closer to regular run rate production from low run rate. Is there any color on that as well, and is that also going through final testing? Or is it sort of ready to go?
Philip Fain: The products that we've provided to the various players in this space are loaded and ready to go. What has to happen next and referenced in the prepared remarks is there's operational testing and evaluations done with user, we expect that to be taking place during the beginning of the year. And at that point, hopefully we'll get better visibility to how they're going to go about and deploy the basis of issue Handheld versus Manpack. You know, whose product right now it's probably three equations and three unknowns and we know that the next milestone event that we're aware of trying to stay in close contact with our OEM partners is that there's this OT&E [Ph] activity in the early part of next year. And that potentially by next spring, perhaps we get better visibility as we go forward.
Gary Siperstein: [Indiscernible] get a guesstimate on revenue, the annual revenue potential to us once it does get all the approvals and burdens of production to health crimes. And then there's a 5 million year in business, is it 10 million year in business?
Philip Fain: We have what the original programs were planned to do. It's public information, the various reports have it. And if you look at those numbers, you get very starry eyed. But we also know that things change. And so we're trying to be cautious up cautiously optimistic about the long term revenue potential, continue to invest in a product, continue to invest in our business, and we're well positioned for the future, but not get over our skis. Revisions are granted until we actually get you know, an actual award and start executing.
Gary Siperstein: Hey thanks Philip, it sounds a bit, it’s just for me to be able to get a sense of the potential, what was the -- made you starry eyed?
Philip Fain: 100,000 radios Gary. And 22% of those radios are having what we offer. And when you look at the ASP, and those, 22,000 radios, it's one of those Oh, my God moments. It’s a Fantasyland, or is this reality? So I think that's just a little color behind the comments. And that’s from a September 2018 U.S. Army press release.
Gary Siperstein: Okay. Okay. Thank you. And, Mike, so perhaps first two years, you've talked on the conference calls. Plus, it's been highlighted strongly in the investor, PowerPoint on the website about leveraged earnings growth. And we saw earned revenues from 2016 go from 82 million to 106 million last year. And yet earnings only went on from 2017. And yet 85 million to 106 million, so 20%, 25% revenue growth in the earnings only went from $0.37 to $0.41. So earnings are only up 10%, even though there was 25% revenue growth. So, can you talk to that? And what will really so it didn't happen? Basically, we didn't get the leverage earnings grow? What's going to allow us to get the leverage earnings growth going forward? And why didn't we get when we went from 85 million to 106 million?
Philip Fain: Gary, Phil here, I'll jump on that a little bit, and then turn it back to Mike. One of the reasons why we didn't see it was because the last I would say the last 18 months to 24 months were huge, huge investment years in our new what we call transformational products. And those were the list of five or six items that Mike went through at the end of it script for Battery & Energy products, and that numerous ones for communication systems. Now this was twofold. This was the development cost people, time, external testing that went into it. And then in were one of the things that we're still going through right now is once it's “been complete” and ready for high volume production, you go through the transition process where you incur incremental costs as you're debugging it, and significantly increase the gross margins to your expectations. So the last two years for Ultralife that's all about, from my standpoint, putting in a record number, the highest number ever of new products that we consider transformational to our business.
Gary Siperstein: Okay that’ fair. So for the last five years, I mean, the company and my management has done a great job and sales have gone up, and 2019 in the last five or six years sales have gone up every year. Net income has gone up every year, earnings per share has gone up every year, EBITDA has gone up every year. And yet because of what you just said, so getting ready for the next wave of growth, earnings flattened out. So we the stock price obviously is in the penalty box in the $5 range, because the $0.18 that went to 23 cents that went to $0.37 that went to $0.41, that earnings per share growth flattened out and stopped. So when we got a PE of 25, and a couple years ago, when we first hit, $0.37 to $0.40 in earnings, the stock went to 11.5. And then as earnings stopped growing, we saw the compression in the PE. And now we have this colder transition here, plus the headwinds from energy. So this year, let's say on an adjusted basis, we finish on one per essential so. So I guess what I'm asking is over the next few years, if like the last year, we can grow revenues 20%, 25% and go from $100 billion to $125 million If those goes investments and those new products that Phil you just mentioned, which kept earnings down, as those free up and all these things go into production, the IoT effort, the three volt effort and metering and smoke detectors, the continued growth in medical, the IDIQs of 85 million finished their testing and going into production, the Leader Radio that creates some starry eyed potential, as that goes into production. It seems to me, there's the possibility, you can then get back to $0.40 and $0.50 and $0.60 earnings. And then, that would imply at least 25% EPS growth going from 30 to 40, 40 to 50. And obviously we can all do the math 25 PE, 25 EPS growth, percent EPS growth on $0.60 of the $15 stock. So it seems like you have the potential to triple the price of the stock. If we can execute it, we can definitely increase revenues and this transitional investment plays, goes into production. Now can you tell us why, why that has the likelihood of happening? In other words, what's the investment case for Ultralife from here going forward? And then obviously, post COVID, once there is a vaccine was a bit more of a normalized recovery, so maybe we get some rebound. And the energy feeds with screen coupled with all these military and commercial with medical going into production. So you talk about that investment, the investment case for buying the stock in the five if that $0.60 is a possibility in the next years.
Michael Popielec: Yeah, this is Mike. As we go through where we've been in the last couple of years, obviously we look at it very closely. And we also have internal employee meetings every quarter as well. And we have, a very close look at what's working and what do we need to do better? And even in the information that's part of our investor presentation on our website, the area that we're really zeroed in on his gross margin. And when I say that, you look at it from the standpoint of okay. Gross Margin, there's been a little bit of degradation in the gross margin. Is that due to the value proposition as I mean, we're getting price pressure, we don't have the differentiation, and so from and so on. Or is it in internal execution by them things which don't mean that people are screwing off or doing bad things, it's just that in the execution phase of the cycle, there's some inefficiencies that we've introduced as relates to some of the new products and scrap and rework and things like that, that's penalizing us at the at the gross margin level. So when we look at it, we're seeing a note, it's not necessarily a price issue, it's not necessarily a horrific mix issue. It's just that we have a number of very exciting new products that are taking a long time to get to the finish line, quite frankly. So we need to get those over the finish line, we have to get through the learning curve. Something I learned a long time ago, you can have the best engineers, the best simulations, the best testing in the world. But until it gets in the marketplace, and it experiences to life and operational challenges, do you really know how it performs. And we work very closely with our customers to bring in new products do rework, to work with them to figure out who pays for what, but that does have an impact on our gross margins. So the good news is, it's I don't believe that it's fundamentally an issue on the value proposition whatsoever. It's and as we get up the learning curve, and when we get through the execution of some of these start-up projects, we are in no way conceding the gross margins that we've had in the past. As a matter of fact, we've added more resources in this regard. We've hired some outside subject matter experts in this regard, and something we go through on a very regular basis at the highest levels in the company. And the good news is, I think it's within our control. So that and the combination of acquisitions, where I think we've demonstrated a very strong ability to integrate, I mean, yes, we're picky. And perhaps the speed of new acquisitions doesn't come as quickly as all of us potentially like, but we feel very strongly about the ones we've done. So far, they've been very successful on a return basis. And so we think the combination of fixing, and getting better on the efficiency side of our internal execution on some of our new product development stuff, as well as the opportunity to continue to get top and bottom line leverage from acquisitions very optimistic of what the next couple years could bring.
Gary Siperstein: Okay, that's great. And I know, all the insiders are very bullish because in the last 12 months, we've seen the Chairman buy over 150,000 shares in the open market, and I think he paid as high as 8,038 cents. And why do you have to buy 150,000 shares when you already own over 5 million shares? So I think that was a big vote of confidence. And that was followed up by, I think, Phil you exercised some options in the seven room and bought the stock and I think they had an outside director buy some stock.
Philip Fain: For share purchase.
Gary Siperstein: For share purchase, okay. Okay and then we have a director, an outside director buy stock too. So obviously, everyone in tunnelling see the potential. So just finishing up with M&A. So, I guess do you remain confident about this re-acquisition, even though, it's been a tough year for gas, but as we said earlier, perhaps there's some rebound after a vaccine and life gets back to normal. I'm not saying articles [Indiscernible] but maybe, it goes to the 40, 50 range, and then there's some back recovering. So if you look at other acquisitions, it's a two-part question. So the first part is, in light of the possibility of Joe Biden winning and capital gains taxes going up? Is there any pressure maybe and put you in a good position, perhaps by something by year-end, because the seller might want to lock in a low capital gains actually?
Michael Popielec: We would never try to time an acquisition for something in the short term, play it that we would always do the acquisition based on its long term fundamentals. And we've said previously, that those fundamentals include their strategic, meaning that after the date of acquisition, they can continue to grow organically, that our peak revenue is the day we close the deal. Secondly, that there's clear visibility to their earnings potential in the form of operating margin, and now they are able to get, be able to get back to our going in operating margin, with the new acquisition and all the bootable effects of short term of an acquisition within 18 months. We would make sure that we have good visibility for DPS accretion within 12 months. So sort of a do no harm to the rest of the EPS equation, while we're doing that first year of integration, and then a reasonable rate of return on our investment. So, I mean, those are the fundamentals that we always look at. And I don't think if there was something that was imminent, and it happened to have a better treatment based on something that calendar it would be just serendipitous. That that's not what goes into our decision system, the speed at which we do acquisitions.
Gary Siperstein: No, no, I know all that my colleagues are saying perhaps the seller wants to know it’s going to sell anyways. And maybe he wants to get the deal done by year-end. To take advantage of the lower capital gains tax rate. And maybe that puts you guys, if there's anything that, you guys have been negotiating over the past three, six months, maybe that, put you in a slightly favorable position, but I understand everything you just said, which obviously makes total sense. So one more question in terms of, so you spent 30 million, 35 million on SWE. In light of everything that we just discussed, it seems like, this huge investment period is over the product, the new product transitions and expenses of new products occurred and held down earnings. And we're potentially about to go into huge revenue opportunities and multiple products that might start getting revealed and unfolded, as we scale through 2021. So then, we might get from 100 million to 120 million, and we might get from $0.30, $0.35 in earnings to $0.50, $0. 60, $0.70 that potential exists. So my question is, with the, with the stock on it’s ass the stock in the $5 range, 20% below book value, and with the potential for book value to go from naught to seven, maybe eight or nine bucks over the next few years. I mean, the business the way it is, is down $20 million in debt. And I mean, $20 million screen that pay down in cash increase in nine months. So I know you have to do the calculations, but doesn't add another acquisition makes sense? So does it make sense, where you could maybe buy 5 million shares here in the $5 $6 range under book where it'll be accretive and reduce the denominator, from 15 million shares to 10 million shares. And on the same net income, your earnings go up, 30%, as opposed to, going out and trying a new acquisition that may or may not work. So I expect to go through those calculations, but it just seems like with everything in place, in terms of this $0.30, to $0.40 level of earnings before all these good things have the potential to start driving revenue. There seems to be an opportunity here to really reduce the denominator, which could really help earnings per share going forward. So can you talk to that point a little bit?
Philip Fain: Yes, I think everything's on the table, Gary. When we think about just the decision tree in terms of investment, versus always organic growth activities, whether it's marketing, sales, reach expansion opportunities, or new product development, or multi-generational product planning. We've inserted strategic CapEx, again as an enabler for organic growth, which we believe this is a very profitable way to make investments. The third criteria has been accretive acquisitions. And the fourth, the improvements to liquidity here or share repurchases and things like that. So, getting through this year, we wanted to really pay down the debt and not have the cost associated with that. And continue to look at all four of those different drivers for overall return to the shareholders. So everything is on the table. I'm glad that we're in a position that this debt has been paid down. We're laser focused on these transformational activity to get the revenue potential. And if there's other things we can do in terms of capital structure, because of excess cash, if we were in that position, we would certainly pull that trigger as well.
Gary Siperstein: Yes, in light of the stock price, and in light of the potential you're talking about, it seems like stock buyback at a discount to book maybe instead of being number four on your list, maybe moves up to number two, or number three up or some combination of stock buyback in the next acquisition, while the stocks in the in the $5 range or, or under book value. It seems like a Dutch tender or, spending five to 10 million bucks could really reduce that denominator and really leverage EPS growth. It's, everything in the hopper starts, starts to come through. So, thank you for cheering me on that. And then my final question is, I'm sorry.
Philip Fain: That's a good suggestion. Thank you.
Gary Siperstein: Okay. And then my last question is, we haven't seen anything like in terms of personnel over the last couple years, so and I know all the various reasons why earnings have flattened out, and then we're taking a dip this year due to energy COVID, etcetera and investment for these future products. But we haven't seen yet, any new hires announced in terms of R&D, in terms of technology in terms of sales in terms of marketing. We haven't seen any new board members. So I guess my question is, does it make sense to maybe bring in some new blood, who might have some new ideas that could help accelerate everything you guys have been doing?
Michael Popielec: That's a good observation, Gary. And I apologize. We were not as public about internal personnel moves. But, in fact, so in the case of like someone's new product development activity, I think we've more than tripled the number of manufacturing engineers that we have now. We've hired and doubled up in many cases, electrical engineers, and mechanical engineers, both in comp systems and in Battery & Energy products. We brought on board, as I mentioned earlier, a subject matter expert in the manufacturing area as the outside resource, looking at things freshly. And we've also brought on board a very senior battery expert in our commercial area, business development area of our business, though. That's going on, it goes on a regular basis. It's something that we reviewed with the board on a regular basis as well, the vitality of our people, bringing in highly capable people look at things fresh. It's just something that doesn't hit the screen in terms of public disclosure, but it's definitely going on. So…
Gary Siperstein: Okay, I didn't realize I know you've got some new people with the acquisition, obviously, but I didn't know you had done more than that. Because we haven't seen anything announced. But then how about on the board level? I mean, maybe I'm not saying anything's wrong with anyone on the board. But you've made you can add one or two people, you know, get some accretive intelligence, accretive wisdom, maybe they have connections for M&A, connections with military contractors or the government. Is that something that you can look at?
Michael Popielec: Yes, I can't comment on, but it’s certainly being discussed.
Gary Siperstein: Okay, and then last question, you did a great job on the expenses in the quarter, and later the hit to revenue? Is there anything else Mike? I'm sure you hit all the low hanging fruit. But is there any anything we can do? In addition to layoffs, is there a possibility that you can reduce the footprint, go from maybe instead of five manufacturing facilities down four, down to three? Is there any potential with anything like that, in terms of manufacturing efficiency, and reducing the footprint?
Michael Popielec: Actually working from an efficiency standpoint, we're trying to make sure that each facility is fully utilized? We were with a smart company, particularly you tend to have, from time to time a little NIH. And, one thing that I think that the team continues and a really good job, they're the ones with the multiple facilities, is integrating some of our U.K. facility better with the access facility with the Newark, New York facility, working through China, to get a better balance, some places were very, very busy, some places were not that busy. And by having the capability to do, sort of, for instance, medical products in multiple facilities, when that's high growth area, it spread things out a little bit, it makes us more cost effective. So I think there's from the efficiency standpoint, not only in the manufacturing side, but also on the engineering side. I think we're doing a better job of utilizing all the other tools in our toolkit. But, there's still a lot more work to do.
Gary Siperstein: Okay, that's fair. So that's it from me. So congratulations on keeping things profitable with the headwinds that you've experienced in the last quarter or so and with COVID. And good luck next year looking forward to some earnings growth as these various things come to fruition. Thank you. Thank you guys. Appreciate your comments.
Operator: It appears we have no further questions over the audio sir. I'd like to turn the conference back to you for any additional or closing remarks.
Michael Popielec: Allright. Thank you, operator and thank everybody once again for joining us for our third quarter 2020 earnings call. We look forward to sharing with you our quarterly progress and each quarter’s conference call in the future. As mentioned earlier, we'd also like to know we updated our investor presentation on our website. So please take a look at that. Everybody have a great day and stay safe.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.